Operator: Good morning, and welcome to the Bunge Second Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ruth Ann Wisener. Please go ahead.
Ruth Wisener: Thank you, operator, and thank you for joining us this morning for our second quarter earnings call. Before we get started, I want to let you know that we have slides to accompany our discussion. These can be found in the Investors section of our website at bunge.com under Events and Presentations. Reconciliations of non-GAAP measures to the most directly comparable GAAP financial measures are posted on our website as well. I would like to direct you to Slide 2 and remind you that today’s presentation includes Forward-Looking Statements that reflect Bunge’s current view with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Bunge has provided additional information in its reports on file with the SEC concerning factors that could cause actual results to differ materially from those contained in this presentation, and we encourage you to review these factors. On the call this morning are Greg Heckman, Bunge’s Chief Executive Officer; and John Neppl, Chief Financial Officer. I will now turn the call over to Greg.
Gregory Heckman: Thank you, Ruth Ann, and good morning everyone. So turning to the agenda on Slide 3. I will start with some highlights of the second quarter before handing it over to John, who will go into more detail on our performance. I will then share some closing thoughts on how we are thinking about the remainder of the year before opening the line for your questions. Let’s start with an overview of the quarter, turning to Slide 4. I want to start by thanking the team for great execution in a highly volatile quarter. We are very pleased with how we have managed our operations as well as our earnings at risk with the appropriate level of discipline. We also helped our customers navigate and manage through the volatility of this quarter that came from weather issues, domestic and international supply chain challenges and other complexities in the current environment. Turning now to our segment performance. Results in Agribusiness were down versus a very strong quarter last year, but exceeded our expectations as the team effectively managed trade flows and capacity utilization. We set quarterly and year-to-date records in soy crush volume, capacity utilization and lower unplanned downtime. Additionally, we reduced power consumption to an all-time low in our European rapeseed crush operations. While we faced complexities in the quarter related to freight, transportation and other areas that affected many other companies and industries, our results clearly demonstrate that with our commercial and industrial teams working closely together, we have built resilient supply chains that allow us to be successful through a range of macro environments. Results in refined and specialty oils improved in most regions, with particular strength in North America. In the U.S., we saw food service demand come back stronger and faster than anticipated, and we are experiencing a greater impact from renewable diesel demand than we expected. In response to the higher demand for refined and specialty oils, we have been working to find greater efficiencies to increase supply. We have also worked with our food customers to help them manage their risk as well as reformulate products where it makes sense. The multiple drivers behind the strength in edible oils gives us confidence there are significant growth opportunities ahead of us. I also want to highlight that this was a strong quarter for our non-core sugar JV. As we have noted in the past, we continue to assess our strategic options regarding this business, but we are very pleased with the improvement over the last year. Taking into account our year-to-date results and based on what we can see now in the forward curves, we are increasing our outlook for the year and expect to deliver adjusted EPS of at least $8. 50 for the full-year 2021. Despite the global volatility, we have confidence in our ability to deliver in the back half of the year. Based on the business already committed, the crush outlook and the demand for refined and specialty oils. As we look ahead, we are confident that the performance of our operating model and market trends provide support for a higher mid-cycle earnings. So in our June 2020 business update, we outlined our earnings baseline of $5 per share. With the changes we have made in our business as well as the fundamental shifts in the marketplace, we are taking that baseline EPS up to $7, and that is a $2 increase. And consistent with last time, this reflects our existing portfolio only and does not include any future growth investments. I will now hand the call over to John to walk through the financial results, the 2021 outlook and additional detail on the updated earnings baseline. I will then close with additional thoughts on some of the trends we are seeing.
John Neppl: Thanks, Greg, and good morning, everyone. Let’s turn to the earnings highlights on Slide 5. Our reported second quarter earnings per share was $2.37 compared to $3.47 in the second quarter of 2020. Our reported results included a negative mark-to-market timing difference of $0.24 per share. Adjusted EPS was $2.61 in the second quarter versus $1.88 in the prior year. Adjusted core segment earnings before interest and taxes or EBIT was $550 million in the quarter versus $564 million last year, reflecting lower results in Agribusiness partially offset by improved performances in refined specialty oils and milling. In processing, higher results in North America and Argentina were more than offset by lower results in Europe and to a greater extent in Brazil, which reflected a decreased contribution from soybean origination due to an accelerated pace of farmer selling last year. In merchandising, improved performance was primarily driven by higher results in ocean freight due to strong execution and positioning in our global corn and wheat value chains, which benefited from increased volumes and margins. In Refined Specialty Oils, the outstanding performance in the quarter was largely driven by higher margins and record capacity utilization in North American refining, which benefited from strong food service demand and increased demand from the growing renewable diesel sector. Improved results in South America were due to the combination of higher margins and lower costs, more than offsetting lower volumes. Europe benefited from increased volumes and margins from higher capacity utilization and product mix. In milling, higher volumes, lower costs and good supply chain execution in South America were the primary drivers of improved performance in the quarter. Results in North America were comparable for last year. The increase in corporate expenses during the quarter was primarily related to performance based compensation accruals, a portion of which was not allocated out to the segment, as was done in previous years. The increase in other was related to our captive insurance program. Improved results in our non-core sugar and bioenergy joint venture were primarily driven by higher ethanol volume and margins. Prior year results were negatively impacted by approximately $70 million in foreign exchange translation losses on U.S. dollar-denominated debt of joint venture due to significant depreciation of the Brazilian real. For the six months ended Q2, income tax expense was $242 million compared to an income tax expense of $113 million in the prior year. The increase in income tax expense is due to higher year-to-date pretax income, partially offset by a lower estimated effective tax rate for 2021. Net interest expense of $48 million was below last year, primarily driven by lower average variable interest rates, partially offset by higher average debt levels due to increased working capital. Let’s turn to Slide 6. Here, you can see our continued positive earnings trend adjusted for notable items and timing differences over the past four fiscal years, along with the most recent trailing 12-month period. This improved performance not only reflects a better operating environment, but also the increased coordination and alignment of our global commercial, industrial and risk management teams due to our new operating model. Slide 7 compares our year-to-date SG&A to the prior year. We have achieved underlying addressable SG&A savings of $20 million, of which approximately 80% is related to indirect costs. Through our team’s disciplined focus on costs, we were able to continue to achieve savings even when compared to last year, which was already lower as a result of the pandemic and the actions we took to reduce spending. Looking ahead, we are monitoring cost inflation in many markets, especially in Brazil, and we will be working to offset this impact where we can while still making the necessary investments in our people, processes and technology. Moving to Slide 8. For the most recent trailing 12-month period, our cash generation, excluding notable items and mark-to-market timing differences, was strong with approximately $2 billion of adjusted funds from operations. This cash flow generation was well in excess of our cash obligations over the past 12-months, allowing us to strengthen our balance sheet. Shortly after quarter end, we closed on the sale of our U.S. grain interior elevators, receiving additional cash proceeds of approximately $300 million and another $160 million for net working capital. Slide 9 details our year-to-date capital allocation of adjusted funds from operations. After allocating $76 million to sustaining CapEx, which includes maintenance, environmental, health and safety and $17 million to preferred dividends, we had approximately $800 million of discretionary cash flow available. Of this amount, we paid $141 million in common dividends and invested $57 million in growth in productivity CapEx, leaving over $600 million of retained cash flow. As you can see on Slide 10, readily marketable inventories now exceed our net debt with the balance of RMI being funded with equity. Please turn to Slide 11. For the trailing 12-months, adjusted ROIC was 18.4%, 11.8 percentage points over our RMI adjusted weighted average cost of capital of 6.6%. ROIC was 13%, seven percentage points over our weighted average cost of capital of 6% and well above our stated target of 9%. The spread between these return metrics reflects how we use RMI in our operations as a tool to generate incremental profit. Moving to Slide 12. For the trailing 12-months, we produced discretionary cash flow of approximately $1.7 billion and a cash flow yield of nearly 24%. Please turn to Slide 13 for our 2021 outlook. As Greg mentioned in his remarks, taking into account our strong Q2 results and our outlook, we have increased our full-year adjusted EPS from $7.50 to at least $8.50, above last year’s record of $8.30. Our outlook is based on the following expectations. In Agribusiness, full-year results are expected to be up modestly from the previous expectations but still down from a very strong 2020. In Refining Specialty Oils, we expect full-year results to be up from our previous outlook and significantly higher compared to last year due to our strong first half results and positive demand trends in North America. We continue to expect results in Milling and Corporate and Other to be generally in-line with last year. In non-core, full-year results in our Sugar & Bioenergy joint venture are expected to be a positive contributor. Additionally, the company expects the following for 2021: an adjusted annual effective tax rate in the range of 17% to 19%, which is down from our previous outlook of 20% to 22%; net interest expense in the range of 220 million to 230 million, which is down 10 million from our previous expectation; and capital expenditures in the range of 450 million to 500 million, which is up 25 million from our previous forecast; and depreciation and amortization of approximately 420 million. Shifting to our updated mid-cycle baseline. The waterfall chart on Slide 14 shows the areas and magnitude of increased earnings being primarily driven by what we see as a structural improvement in the oilseed market fundamentals. This is due to increased vegetable oil demand by the renewable diesel industry and greater benefits as a result of the change in our operating model to a global value chain approach. Turning to Slide 15 and the drivers behind these increases. Consistent with our approach in June 2020, when we introduced our $5 baseline, we were defining our long-term average oilseed crush margin range by using the weighted average of our footprint over the past four years plus the trailing 12-months. This increases our average soy crush margin by $1 a metric ton to a range of $34 to $36 per metric ton and more significantly, it increases our average softseed crush margin, which is more sensitive to oil demand by about $10 a metric ton to a range of $48 to $52 per metric ton. We feel these ranges reflect more reasonable normalized numbers in the go-forward structural market environment. We have also increased the normalized earnings of our oilseed origination and distribution businesses and our merchandising sub-segment, reflecting the more coordinated and aligned approach within the value chains from our new operating model. The approximate 30% increase in Refined Specialty Oils earnings is driven by a higher capacity utilization in North American refining and increased contribution from specialty oils due to improvement initiatives that are underway. Importantly, we assume that margins in North American refining normalize back to historical averages as we expect in time that the renewable diesel industry will add pretreatment capabilities to their facilities. There are no changes from our prior baseline in milling. Corporate and Other are down primarily due to higher performance-based compensation from the increase in our baseline. There is no change in the assumed contribution from our Sugar & Bioenergy JV. Net interest expenses reduced by approximately $25 million compared to the $5 baseline, reflecting debt pay down from strong cash flow in 2021 and normalized working capital. Given potential tax policy changes in the future, we are increasing our estimated effective tax rate by two percentage points. It is important to note that our earnings baseline of $7 is not earnings power. Aside from upside that may come from higher-margin environment, we have a number of opportunities that we are pursuing that can drive earnings upside as summarized on Slide 16. Strengthening our oilseeds platform with targeted acquisitions is a top priority. Expanding our industry-leading Refined Specialty Oils position to serve new and existing customers with differentiated products and services is an area of opportunity. We are also excited about the growth and demand for renewable feedstocks and plant-based proteins. And finally, we are continuing to invest in technology that will drive increased efficiency throughout our global operations. Turning to Slide 17. At a $7 per share baseline, we should generate approximately $1.4 billion of adjusted funds from operations. After allocating capital to sustaining CapEx and preferred and common dividends to shareholders, we should have about $800 million of discretionary cash available annually for reinvestment in the business or returns to shareholders. This is an increase of approximately 200 million of cash per year from our $5 baseline. With that, I will turn things back over to Greg for some closing comments.
Gregory Heckman: Thanks, John. Before opening the call to Q&A, I want to offer a few closing thoughts. From where we sit, it is clear there is a structural shift underway in the consumer demand for sustainable food, feed and fuel. The conversations we have been having with existing and new customers are significantly different than they were even just six months ago. We are pleased with our position to help support meaningful change and with our global platform, we have the ability to do so at scale. Consumers have demonstrated they will pay more to get what they care about, and it is our job to provide these alternatives to our customers. To meet this demand, we work with customers on sourcing sustainable alternatives or helping them reformulate. We help food and feed customers source ingredients to minimize the carbon impact of moving them, and we work with fuel customers to source and transport feedstock for renewable fuels. Importantly, we do all of this with the goal of driving value back to farmers to allow them to invest in stewardship, to support regenerative agriculture and to encourage production in optimal locations, which means getting the highest production per acre using the least amount of inputs. We are really excited about the role we can play in this accelerating shift. I want to end by thanking the team again for their continued incredible execution. And with that, I will open the call to your questions.
Operator: We will now begin the question and answer session. [Operator Instructions] The first question comes from Robert Moskow with Credit Suisse. Please go ahead.
Robert Moskow: Hi thanks for the question, goo morning. Hey I wanted to know when you developed your baseline assumptions, did you consider a what-if scenario, if soybean suddenly go back to historical levels, like $8, $9 a bushel because of a supply response, does that affect your baseline or do you just think the margins that you can make with all the renewable diesel activity and plant-based are structurally high, so it doesn’t matter?
Gregory Heckman: Yes, I will start and let John come in. But yes, it is a holistic look at history as well as what is currently happening with the key supply and demand factors. And sure, we are seeing - coming forward in the next couple of years, the market is doing its work, right. We are drawing more supply out. But the thing that is different this time is it wasn’t one big crop shortage that caused these higher prices. It has been demand and a structural demand shift in a number of areas. So yes, we rolled all that into the thinking.
Robert Moskow: Okay. And then one quick follow-up also on the baseline. Some Ag tech companies are introducing soybean varieties that require less processing so that the - I guess, the protein can be extracted cheaper. Is that a structural benefit to you, is it material enough to improve your earnings or because I guess you would get cheaper byproducts as a result.
Gregory Heckman: Yes. How we think about technology, look, is the largest global oilseed crusher. We are, of course, working with people on seed technology. We are working on cover crops. We are working at continually becoming more efficient in our own operations. So as we are seeing the demand not only on the traditional food business and the feed customers, but now on the renewable diesel and the growth in the plant proteins, it is going to draw more innovation into the space. And as the largest operator here, it is our job to be in step with that and find ways to take advantage of that. So we are excited about it.
John Neppl: But I would say, Rob, this is John. We haven’t baked any sort of, I will say, new technology into our thinking and our numbers. So it is really based on what is here today, what we are operating today and in what we think is a reasonable outlook on margin environment. So anything that would bolster, improve the margin environment for us going forward would be additive to that.
Robert Moskow: Okay. Alright thank you.
Operator: The next question comes from Vincent Andrews with Morgan Stanley. Please go ahead.
Steven Haynes: Hey this is Steve Haynes on for Vincent. Just wanted to ask - it might be a little early to start talking about 2022, but when we think about your $7 baseline and maybe what might be implied for the second half of 2021, it might suggest something a bit lower than $7. So can you help us kind of think about where the exit rate for this year would kind of put us relative to your new baseline?
Gregory Heckman: Yes. No, I would say we see that differently. I think part of the confidence of raising the baseline to seven years is - or to $7 and doing it this year is what we see in the momentum for the balance of this year and the structural shift in demand carrying into 2022 and 2023. We were very comfortable putting that baseline out there, because we feel we can exceed it here with what we are seeing right now for the next couple of years.
John Neppl: Yes. I think it is important to note that the baseline and maybe it wasn’t clear enough in my remarks, but it doesn’t include the refining premiums that we are seeing today. It does include additional volume from refining as we go forward from the demand. But we did pull back the refining premiums to a more normalized level, assuming long-term that the energy consumers end up doing their own pretreatment. But for now, we are realizing much higher refining premiums than what we have built into the $7.
Steven Haynes: Thank you.
Operator: The next question comes from Adam Samuelson with Goldman Sachs. Please go ahead.
Adam Samuelson: Yes thanks, good morning everyone. So I guess, maybe first question is on the revised 2021 outlook. And from the way you had characterized the increase in the press release in the prepared remarks, it doesn’t seem like your second half outlook has really changed all that much from where you were in the first quarter or coming out of the first quarter. And I just want to confirm that is true. And if so, just help us think about kind of the puts and takes around the world in terms of farmer selling, in terms of kind of the crush margin outlook that you see and the opportunities and risks as we think about the second half?
Gregory Heckman: Sure. Yes, you see that correctly. And in fact, as always, we are looking at what we have delivered and then we are looking at the curves for the balance of year. The curves are definitely weaker than the last time we talked and so we have reflected that in the outlook. Now that being said, if you look historically, we will be really surprised if they stay there, but that is what we see right now. Probably if we kind of talk around the world on the crush margin side, of course, North America is the strongest with China probably being the weakest. Europe has definitely felt some pressure as Argentina has ran harder this year and that meal got pushed out into Europe, but we are seeing Argentina now traditionally starts to slow down after harvest as well as the producer as we move towards an election and maybe perceived higher risk devaluation now starting to slow the marketing. So we will see Argentine crush start to slow down. As far as the farmer selling, of course, in Brazil, on the corn side, the producer has not been as quite as sold as prior, because you had a tough weather situation there in a smaller safrina crop, Black Sea a little bit behind in corn, but in the U.S., just slightly ahead of history. And so the next kind of wave in corn selling will be, I think, as people see how the U.S. crop as the weather continues to play out and get a look at kind of what people feel comfortable about the yields, and we will see the next marketing. The U.S. farmers pretty sold up on the 2021 crop a little bit ahead of last year, and I think that is really the story again of getting through the weather, which has got to play through August here, get comfortable with the yields and then we will probably see another wave of marketing. And then in Brazil, of course, we are behind prior year, which last year was pretty special, the way things formed up and with what happened with the FX and the heavy marketing. So we didn’t really expect that to repeat. But overall, curve is pretty weak, but historically, we will be really surprised if they stay there. And in fact, we are starting to see a little glimmer of improvement in China even this week.
Steven Haynes: Alright that is really helpful. And then just a follow up on the new baseline and I guess I’m trying to think about kind of where some of the pluses could come from on the capital allocation front. And I guess, first, it doesn’t include really anything significant in terms of the sugar JV or potential proceeds from kind of eventual sale or IPO of that business. And then if I’m looking at the excess kind of funds from operations that you would be generating in that scenario, just how we thought about the reinvestment or repurchase kind of benefits of that in the $7?
John Neppl: Yes, Adam, this is John. We haven’t assumed anything - so let’s take sugar, we kind of assumed status quo for sugar. So not any additional contribution in terms of from earnings or additional impact from a divestment of that business, we have kind of left it as is, which we think is pretty conservative. And on the growth front, we have not assumed any big growth capital investments in that number. So as we talked about on one of the slides, anything that we do from an investment standpoint in growth projects will be additive to the number.
Adam Samuelson: Got it. So to be clear there, I mean, after your common dividend, you are going to be - there is going to be at least about 7% of equity cap today per year roughly that is allocated effectively from a growth capital perspective or reinvention to shareholder perspective?
Gregory Heckman: Correct. So you can kind of think of that baseline as being sort of a [2020, 2023-ish] (Ph) number. But clearly, overtime, either we are going to invest in growth projects or we are going to buy back stock, one or the other. We are not going to continue to accumulate cash forever. And both of those would be upside from the $7.
Adam Samuelson: Alright that is really helpful. I will pass it on. Thanks.
Operator: The next question comes from Ben Bienvenu with Stephens. Please go ahead.
Benjamin Bienvenu: Hey thanks good morning everybody. I want to follow on Adam’s question there just on capital allocation. And if I look on Page 16 in your slides, the buckets you provided, are those in order of importance or attractiveness and/or the opportunities that exist today and if so, could you talk through that. If not, could you also just talk about where you see the greatest opportunity is? And how you think about - I think you have talked about wanting to make a risk-adjusted return profile and your investment paradigm that you put in place? Can you talk about that relative to the decision to buyback stock, and to Adam’s point, on a yield basis, but the stock is going to be quite cheap. So I would imagine that increases your hurdle rate for the stuff you would want to buy.
Gregory Heckman: Yes. Let me start on the projects, and then I will let John take it from there. But no, I think what is exciting now is we have turned to the growth phases, the teams are really working across all the growth platforms and they will be competing for that capital as we put it to work. And then as you said, and I will let John talk to that, it always competes versus buybacks, right. That is always a baseline as well. But look, we are excited - what we are doing on our oilseeds platform as well as the origination distribution businesses. So we are doing all the debottlenecking. We are looking at some Brownfield opportunities and then, of course, even looking at some Greenfield opportunities, because there is going to be more capacity needed to meet this demand growth. We will continue to support our strong areas, but we are also looking to fill in some areas and whether that is with bolt-ons or if we can do something meaningful on the acquisition side. I mean we feel we are as good as anyone to do that. We have shown that we can execute, and we are building the cash and looking for those strategic opportunities. Our specialty oils business, you saw a better performance there across that business and really gaining momentum. So we will continue to look at not only the organic growth, but where we have bolt-on acquisitions or tuck-in acquisitions in that business. We really like that. And with all the reformulation and innovation that is going to be going on with customers is what is happening in the oil complex. We are really glad to have that in the portfolio. And then, of course, what is happening in plant proteins, that trend is firmly in place. That is a business that will be a slower build for us. We are working with the customers and really working backwards in how we build that business. And so we will be thoughtful. And again, it is about the returns, we are not going to run out and overpay for anything to do that. We are going to maintain our discipline around capital allocation. And lastly, on the renewable feedstocks, it supports really all of the business, but it is not only the products to serve that new demand, which is in the oil, which is really important. As you know, historically, a lot of times the oil has been the drag for crush which just makes that no longer the case. But it is not only the products, but it is the services that will be wrapped around that and as we work with people because the conversations are, everybody wants a lower carbon impact, and that is whether that is in feed, food or fuel. And so as we work with the producers to help them deliver that lower carbon product and work it all the way through the value chain into our customers, whether it is on the B2B side or the B2C side. So teams are working very hard, the portfolio rationalization is over and we have turned to growth and we are doing the hard work now but lots of great opportunities, and we are excited about it.
John Neppl: Yes, Ben, in terms of returns, I think we have talked before about how we think about the allocation process. And we look holistically from the top of the house on where the best opportunities are and we obviously adjust return requirements based on geography, based on familiarity with that business, how it folds in closely with what we are doing or if it is an adjacency. But in any event, we are looking at things that are accretive to our targeted ROIC. And again, it is a pretty disciplined centralized approach. And we do expect frankly, as we are generating additional cash down the road to utilize that availability to continue to look at growth opportunities, I do expect for next year with the pipeline of CapEx that we have that we will probably see a ramp-up in capital spending next year over what we are expecting this year.
Benjamin Bienvenu: Okay. Great. Greg, you mentioned China crush starting to maybe get a little bit better, could you talk more broadly about China and the demand backdrop there? I know there were some corn cancellations a couple of weeks ago that rattled the grain markets. We have seen what pork prices have done. How do you feel about where we are on the curve for demand from China and how that bears out both in crush and origination as we move forward?
Gregory Heckman: Sure. Look, let’s start by -- the demand has been very solid there. If you look at the USDA is forecasting corn imports to be three times last year, so that is a different story than we have seen historically. And so yes, there will be some ups and downs, but the trend has been more and been up, and we think that that is going to repeat and be sustainable. The higher corn prices did cause some wheat feeding. One thing about as they have rebuilt that commercial industry, right, they are running lease cost formulation now and when there was some wheat release from the reserve with the high corn prices, they reformulated and wheat being four points higher on protein, that did hurt meal demand. So we felt that. We think we are kind of getting to the tail end of that. And then as you said, hog margins have softened, but that seems to have stabilized. And then crush margins were under pressure. This was kind of all happening at the same time. But again, that seems to have stabilized. And historically, if you look at that in that industry, the marginal producers will pull back and those crush margins will recover. So we feel good about the long-term there, but there will always be some ups and downs in the demand look.
Benjamin Bienvenu: Okay. Thanks for the comments and congratulations.
Gregory Heckman: Thank you.
John Neppl: Thanks Ben.
Operator: The next question comes from Luke Washer with Bank of America. Please go ahead.
Luke Washer: Hi good morning. I wanted to ask about the premium on the refined soybean oil versus the crude soybean oil. John, I think you talked about you expect that to come down as it relates to your new $7 EPS baseline. But we are seeing a lot of renewable diesel capacity coming on over the next really three to four years, and this premium seems to have blown out to the near double of what it historically has been. So when you think about that going forward, do you see that coming down sooner than later or do you think with all this renewable diesel capacity and most likely a lot of them are bringing on those pretreatment facilities too soon? We could see that premium really last for a few years here.
John Neppl: Yes. We are really looking at normalization overtime, but it is tough to predict how quickly that will happen. I think our view would be over the next year or two, it will remain elevated. You are right, and we are seeing premiums nearly double what they have been historically. And a lot of the demand that is coming on in the near-term won’t have pretreatment. So it is really going to be a question of how fast and over what period of time. So we wanted to be conservative in our $7 baseline that we didn’t assume extended time period of elevated margins in that area. But certainly, it is possible that, that will happen.
Gregory Heckman: Yes. You are exactly correct. We are starting to see the benefits of that already, and we really haven’t seen the volume really start to pick up yet. That will happen here in the second half. And then to your point, it will take a couple of years for some of that to get built. But we wanted to separate the near-term environment from what we had put in the long-term baseline.
Luke Washer: Yes. To take advantage, it looks like debottlenecking some of your oil. Are you exploring any Greenfield potential too to build a new crush plan? Or right now, it is just really focused on debottlenecking?
Gregory Heckman: No, everything is on the table.
Luke Washer: Got it, okay helpful. And maybe just one more quick one. I was hearing a lot about supply chain disruption, particularly as it relates to ocean freight. And it sounds like in your merchandising business, it is almost helped you to some extent. I guess could you frame how that is helps your results or hurt your results and whether this disruption could last for a while? What that means for the back half of the year here?
Gregory Heckman: Yes. The one thing about having a global system and over 30 of our own ports, when there is tightness and there is dislocation, it allows us to be able to help solve problems for customers and to manage our own processing businesses to serve customers with products. So from that standpoint, it becomes somewhat of an opportunity. Is it difficult? Is it challenging? Does it create a lot of complexity? Absolutely. Some of the other things, a little more problematic, no doubt, but they are not unique to us in our industry are unique to this industry alone. But if you look in North America, the shortage of truck drivers and the tightness in truck freight, and that is really challenging on the logistical side, and we are all working through that. And then, of course, the tightness in containers globally has made some supply chain management very difficult. But you switch modes of transportation where you can and work through stocks, try to manage stocks with customers to manage where you have got logistical risk, but that is part of having a great global platform and having a great team.
Luke Washer: That is good. Thank you.
Operator: The next question comes from Ben Kallo with Baird. Please go ahead.
Benjamin Kallo: Hey thanks for taking my question. Congrats, Greg and John. First a housekeeping question. On the JV, could you just remind us what the period is where you couldn’t do anything to spin or sell it? And then I have a much broader question.
John Neppl: Sure. Yes. Ben, we are now in a past the time line in which we could go out and market our half of the ownership of the JV, so that was at 18-months and so we passed that about a month or so ago. So we have the ability to go out market our half. At the same time, we will have the ability to trigger IPO at the two year mark, which is December 1st. And certainly, we are talking to our partner, we are assessing our opportunities down the road here. We are keeping an eye on what is happening in the Brazil financial markets as well as what is happening with Raison and their recent IPO of a portion - it is a small IPO relative to the size of their business, but we are watching that to see how the market reacts overtime here and certainly keeping our options open.
Benjamin Kallo: Got it. And then, Greg, you have been at the helm since April 2019. And with the new $7 baseline and like ADM establishing a baseline, a new baseline yesterday, I guess what the $7 number has been under your control and your team’s control of getting there versus macro environment, whether it is a structural change or it is a temporary change? And if you could spend - I know that is a lot there, but if you could slice it up into what you think has led to that $7 number from where you started from. That would be helpful.
Gregory Heckman: Sure. Look, a lot of it are the things within our controls. We are not assuming any big macros in that. That is, if you think, right, what we have lived through the last two years, put aside the fact of trade war, ASF and COVID, what we lived through is we changed this portfolio. We are running a different set of assets. And we have gone through all the work at the same time of unwiring those from the machine as we did the divestitures. I mean, sure, these are distracting, tough projects and super proud of the team and what they have been able to do. We changed the operating model on a global company, and that took rewiring, right, rewiring the systems and the processes, and we are still in the final throes of that and getting better information more quickly to all of our industrial and commercial teams. And then the disciplined approach that we are taking on risk management and that really focusing on the assets and how we are running the assets and how we are managing the earnings at risk in those assets in the tens of thousands of customers that we have got. And then as we have talked about the discipline around our industrial and making improvements in how we run those assets and how the industrial and commercial teams work together and looking at the best of Bunge globally to learn from ourselves as we think like a global company and make that systemic improvement that we get to keep. And then we have done this in some really tough environments and with a lot of people remotely, and that is given us a lot of confidence, even since a year ago, when we were putting this baseline out amidst this change. So this is the underlying - the company here, the great global platform, the great team and the way that we are operating and getting some miles with it. Now the environment has improved. So when you say a $7 baseline, remember, that is a framework. So when you see the crush margins higher than what is in the baseline, that is showing how the over improvement is there, and that is happening in soy and soft crush. And when you see the edible oil volumes and now margins on the refining overages higher than what is in the model, and that is what we were speaking to. That is over performing the baseline. And that is what we talked about. We are comfortable with what we are seeing here for the next couple of years, and that is why it was time to raise the baseline and also why we were comfortable raising the outlook for this year.
Benjamin Kallo: Thank you.
Operator: The next question comes from Ken Zaslow with Bank of America excuse me, Bank of Montreal. Please go ahead.
Kenneth Zaslow: Hey good morning guys. It is Ken with Bank of Montreal. Just a couple of questions. One is, I wanted to confirm that you are actually increasing your implied EBITDA for mid-cycle more than what you are increasing the EPS given that you are raising the tax assumptions. Is that a fair assumption that EBITDA, the assumption is actually stronger than even the EPS range from $5 to $7, if I didn’t imply it?
John Neppl: Yes. The biggest driver is tax. And then we do have a small increase in share count just overtime through normal comp, equity comp structure, but that is pretty minimal. But those would be the two drivers.
Kenneth Zaslow: So the EBITDA is going - is increasing - your mid-cycle EBITDA is increasing at a faster pace than your EPS?
John Neppl: Right.
Gregory Heckman: Correct. Yes.
Kenneth Zaslow: Okay. So cash flow matters? Okay. I just want to make sure. The second question...
John Neppl: It definitely matters.
Kenneth Zaslow: Right. That is what I’m saying. Effective tax rate is less important than the EBITDA that is associated with it. That is what I’m saying. I just want to make sure. If I did it implicitly, I can back into what the EBITDA calculation would be, and it would be higher than the EPS growth. That is what I just want to make sure.
John Neppl: Yes.
Kenneth Zaslow: Second question, is there any reason not to believe that 2022 will be at least mid-cycle numbers? Just making sure I got that just through all the context.
Gregory Heckman: Yes. You are correct. And with what we see right now, we expect it to be above mid-cycle numbers. I think the next couple of years - yes, the next couple of years with the momentum and what we see here, and look, it takes time to build things, whether that is capacity or pretreatment or some of the things that have to happen, some of the oil that has to find its way into the U.S., that is complicated. So there is a big shift going on, and it is going to take some time for that to happen.
Kenneth Zaslow: Okay. And not getting ahead of myself, but I get the sense that you are trying to continue to build on the mid-cycle earnings overtime through CapEx. So in three years or whatever the years are, as you build the capacity and use your capital judiciously, you are trying to build a higher mid-cycle earnings overtime as well, right? This is not the end of the mid-cycle number. Is that a fair way of thinking about it?
Gregory Heckman: That is correct. No, no, this is the beginning, if you will. So if we make an acquisition, we will come in and talk about what change that makes to the baseline. When we make a sizable capital investment, we will come in and talk about what change that makes to baseline. So those will be probably the next things you hear about the baseline are when we make investments and the difference that makes to the underlying earnings power of the machine.
John Neppl: Yes. Think of it another way, Ken, to hit $7 over time as we reinvest capital wisely in the company, it lowers that bar on the need - the margin we need to get to $7 will drop. So today, we are at, call it 35 and 50 overtime as we reinvest, those numbers would go down in terms of the margins we would need to hit $7. That is another way to look at it.
Kenneth Zaslow: Great. I appreciate it guys. Thanks a lot.
Gregory Heckman: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Greg Heckman for any closing remarks.
Gregory Heckman: Thank you. Just want to thank everybody again for your interest in Bunge. To wrap up, we are really pleased with the continued outstanding performance. We are pleased to be able to revise our outlook. This global platform just continues to demonstrate its resiliency. And with our role in the global food supply chain, we are in a great position to benefit from what we see as an accelerating shift in demand for sustainable food, feed and fuel, and we look forward to talking to you again soon. Thanks again.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.